Operator: Good day and welcome to the CTI Industries Corporation Announces the Second Quarter and Year-To-Date 2014 Financial Results Conference Call. Today’s conference is being recorded. Certain statements contained in this conference that are not descriptions of historical facts are forward-looking statements, as such term is defined in the Private Securities Litigation Reform Act of 1995. Because such statements include risk and uncertainties actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause results to differ materially from those expressed or implied by such forward-looking statements include but are not limited to those discussed in filings made by the company with Security and Exchange Commission. Many of the factors that will determine the Company’s future results are beyond the ability of management true control or predict. Listeners should not place undue reliance on forward-looking statements which reflect management’s views only as of the date hereof. The company undertakes no obligation to revise or update any forward-looking statements or to make any other forward-looking statements, whether as a results of new information, future events or otherwise. At this time I would like to turn the conference over to the President, Mr. Stephen Merrick. Please go ahead.
Stephen Merrick: Good day and thank for joining us or our report on the second quarter and year-to-date 2014 results of CTI Industries Corporation. My name is Stephen Merrick. I am the President of CTI and will be presenting our report. I’m joined on the call today by Tim Patterson, our Chief Financial Officer. At the conclusion of our report those of you who would like will have the opportunity to ask questions of us. Consistent with our experience of the past several years our second quarter has not been the strongest quarter of the year. However we do anticipate renewed growth in the third quarter and beyond and are working to achieve good profitability as we moderate our operating expenses and work to restructure our large interest costs on our mezzanine debt. There are a number of very positive developments and things we are working on which we expect will have a significant impact on our future results. I will review those with you in more detail in a few minutes. But first let me ask Tim to review the basic financial results for the second quarter and the first-half. Tim?
Timothy Patterson: Thanks Steve and good morning. Revenues for the second quarter were $13,590,000 compared to revenue of 13,034,000 in second quarter of 2013. For the six months of this year revenues were 28,079,000 compared to revenues of 26,379,000 for the first six months of 2013, an increase of 6.4%. We experienced good increases in our foil balloons sales both in the second quarter and for the six months. Sales in that line were up 10% for the quarter over last year’s second quarter and 8.5% from the six months. In the six month period sales have been up more than $1 million over the same period last year from $12,342,000 in the first six months last year to $13,388,000 in the first six months this year. A good deal of that increases come with international sales, new customers and increased sales to existing customers. We also saw increased revenue among other product lines, which include our Candy loon and Candy Blossoms lines and our direct sales of household container products. In those lines sales grew from $382,000 in the second quarter of last year to $818,000 and from $836,000 in the first six months of last year to 1,955,000 in the first six months of this year. While our sales of vacuum sealing system were flat for the second quarter as Steve will review there are several developments which indicates strong sales in that line for the remainder of the year and beyond. In terms of earnings we experienced a net of loss of $122,000 for the quarter or $0.04 per share compared to a net loss of $56,000 for the second quarter last year or $0.02 per share. For the six months we had a loss of $77,000 or $0.02 per share compared to the net income of $74,000 or $0.02 per share for the same period last year. Our gross margins have improved substantially. In the second quarter this year they were 23% compared to a rate of 19% for the second quarter of last year. For the six months this year our gross margin rate has been 23.2% compared to a rate of 20.7% during the same period last year. This improvement in gross margin rates is an important element in our effort to achieve consistent profitability. It is a result of increasing sales of higher margin products, sales of our direct sales company at higher margins and improved margins at our Mexico subsidiary, Flexo Universal. Our interest costs remained a significant drag on earnings. For the second quarter this year our net interest cost was $205,000 compared to net interest cost of $200,000 in the second quarter of last year. For the six months our net interest cost was $506,000 compared to net interest cost of $668,000 for the same period last year. As Steve will review we are engaged in efforts to change our debt structure so as to reduce our ongoing interest cost as part of our overall plan to achieve consistent profitability. Further as a result of our efforts to become consistently profitable we have slowed the growth in our operating expenses. For the second quarter our U.S. domestic operating expenses, excluding our related company and foreign operations grew at a slower rate than last year and we are working to reduce and even reverse that growth during the balance of 2014. Let me turn it back over to Steve to discuss important new developments. Steve?
Stephen Merrick: Thank you, Tim. There are a number of developments and our initiatives in which we are engaged that we believe will strongly impact our results going forward. First we do expect a strong second half in our vacuum sealing product lines. We have introduced two new vacuum sealing machine lines, which have already been placed in thousands of outlets. In Wal-Mart and the U.S. and in Canada we have placed two new models, including our newest high end design and we have placed new models in several additional chains. There is every indication that these placements will result in increasing sales during the second half of the year. Also we have introduced packages of pouches of rolls of film for our vacuum sealing systems which feature the statement Made in America from over 90% U.S. sources. And we will be promoting that important feature during the balance of this year. We are engaged in initiatives to make some modifications to our financial structure so that we will be able to reduce the very high rate of interest we are paying on our mezzanine debt. To finance, to develop and entry into the back end sealing product business we obtained a $5 million mezzanine loan. That loan carries interest at the rate of 11.5% and because of warrants issued with the loan we are required to expense as interest the value of those warrants over the course of the loan as debt discount. We are working to modify this financial structure in order to reduce or eliminate the mezzanine loan and the high rate of interest it carries, so that we can reduce the burden of that loan on our earnings. Recently we acquired a new flexographic printing press which has increased our capacity to produce printed films for balloons and for our other film products by about 50%. We believe this new equipment has the potential of improving unit cost and supporting the growth of our film product sales. A few years ago we acquired a new latex balloon production machine in Mexico at a cost of about $800,000. While the investment seemed substantial at the time it almost doubled our capacity in Mexico. More importantly since that machine became fully functional our Mexico subsidiary Flexo Universal has been consistently profitable and has achieved significant increases in gross margins. We believe our new Flexo press in the U.S. has the potential to provide similar benefits. Over the past several months we have initiated and are implementing a program to control and reduce our operating costs as part of our overall efforts to achieve profitability. During the second quarter of this year we did moderate the growth in our operating costs but we believe that over the balance of this year and beyond we will be able to achieve improved control over our cost including significant cost reductions. As our results for the second quarter and first half show we are now achieving some good and growing sales in two new lines, our Candy loon and Candy Blossoms products which were introduced late last year and our direct sales of container products for the home. As we indicated sales in these lines have grown from very little to almost $2 million in the first half of this year. We expect sales in these lines to continue to expand. Internationally sales are a bright spot. We have seen significant growth in each of our international markets and are anticipating continued growth in each of them. Flexo Universal, our Mexico subsidiary has had double-digit growth for several years and has become consistently profitable. This year Flexo grew by 6.8% in the second quarter from $2.6 million in the second quarter of last year to $2.8 million in the second quarter of this year. For the six months Flexo grew by 8% from $5.2 million last year to $5.6 million this year. In the UK sales in the first six months of this year have grown by 35% over the same period last year from $1,084,000 to $1,465,000. And in Europe sales have grown by 88% so far this year from $427,000 in the first six months last year to $802,000 for the same period this year. So with these developments and initiatives we are moving quickly towards profitability. While we have work to do, we are very optimistic that we will achieve our plans of revenue growth, cost control and profitability in the near future. That concludes our report. At this point we will open the call for questions. Operator may we have your assistance please?
Operator: (Operator Instructions). At this time we have no questions in the queue. And we’ll now take our first question from Todd Brady from Oppenheimer. Please go ahead.
Todd Brady – Oppenheimer: Good morning Steve.
Stephen Merrick: Good morning.
Todd Brady – Oppenheimer: Quick question, what general timeframe do you guys anticipate doing something financially in order to remove this $5 million, 11.5% interest burden because it really seems like business is strong and picking up, so that’s the good news. But what does management think about timing of any type of financial transaction? Thank you.
Stephen Merrick: Thanks Todd. Well while I can’t get into detail now because things are very preliminary, we are engaged actively in efforts and negotiations to make that move and to accomplish that goal. I can’t give you any specific timeframe but I am certainly hoping that we will be able to achieve at least some if not all of our goals in that regard sometime during the third quarter, possibly during the fourth quarter.
Todd Brady – Oppenheimer: You guys also have done a pretty good job on the OpEx side, you talked about further cuts on the operating expense side the back half of this year. Can you maybe throw us a couple of areas that you can see some efficiencies on the expense line?
Stephen Merrick: Yes I can tell we have engaged and are engaging in serious program to the management. As part of our process of growing and making the commitments we needed to make to grow into the new business there were a number of infrastructure costs that came about. We are now in the process of attempting to rationalize those costs to the revenue that we have, so that we become consistently profitable. That includes that we have at least four to five personnel who were part of the company who are no longer part of the company and in addition to that we have made some reductions and some – and a of specific costs that we had engaged in and are implementing more of those. So we are effectively acting to reduce our cost and I think that while some of that, the beginnings of that were reflected in our moderating of the increase in costs in the second quarter more of that will be reflected in the third and fourth.
Todd Brady – Oppenheimer: The improvements that we’re seeing in the gross margins, is this something that we should continue to anticipate going forward?
Stephen Merrick: Well, this is something we’ve been working on for some time. It’s a reflection of the fact, number one of efficiency in our plant operations. I have to say that because, RD, our Head of Operations in Plant is sitting with us today and actually he’s done a great job in making that happen. And but in addition we have been able to increase our sales of higher margin products over the last year or so and are continuing to do that and that’s probably the primary reason that we have increased our margins and that’s an indication because of that, that increase will sustain because those products continuing into sale and in fact increasing net sales.
Todd Brady – Oppenheimer: Thank you very much. Keep up the good work.
Stephen Merrick: Thank you.
Operator: (Operator Instructions) At this time we have no questions in the queue.
Stephen Merrick: Well it appears that there are no further questions and we certainly appreciate those of you who participated in the call, all of you who participated in the call and we look forward to speaking with you again on our results on the third quarter. And thank you very much for participating and attending.
Operator: This does conclude today’s conference. Thank you for your participation.